Operator: Good morning and welcome to the Xylem First Quarter 2020 Earnings Conference Call. At this time, all participants have been placed on a listen-only mode and the floor will be open for your questions following the presentation. [Operator Instructions] I would now like to turn the call over to Matt Latino, Vice President of Investor Relations. Please go ahead.
Matt Latino: Thank you, Kristy. Good morning everyone and welcome to Xylem's first quarter earnings conference call. With me today are Chief Executive Officer, Patrick Decker; Chief Financial Officer, Mark Rajkowski and Chief Supply Chain Officer, Tony Milando. They will provide their perspective on Xylem's first quarter results and our outlook. Following our prepared remarks, we will address questions related to the information covered on the call. I will ask that you please keep to one question and a follow-up and then return to the queue. As a reminder, this call and our webcast are accompanied by a slide presentation available in the Investors section of our website at www.xylem.com. A replay of today's call will be available until midnight on midnight on June 6. Please note the replay number is 800-585-8367, and the confirmation code is 6033648. Additionally, the call will be available for playback via the Investors section of our website under the heading Investor Events. Please turn to Slide 2. We will make some forward-looking statements on today's call, including references to future events or developments that we anticipate will or may occur in the future. These statements are subject to future risks and uncertainties, such as those factors described in Xylem's most recent annual report on Form 10-K and in subsequent reports filed with the SEC, including in Form 10-Q to report results for the period ending March 31, 2020. Please note that the company undertakes no obligation to update any forward-looking statements publicly to reflect subsequent events or circumstances, and actual events or results could differ materially from those anticipated. Please turn to Slide 3. We have provided you with a summary of our key performance metrics, including both GAAP and non-GAAP metrics. For the purposes of today's call, all references will be on an adjusted basis unless otherwise indicated, and non-GAAP financials have been reconciled for you and are included in the appendix section of the presentation. Now, please turn to Slide 4 and I will turn the call over to Patrick Decker.
Patrick Decker: Thanks Matt. Good morning, everyone. Let me start by expressing my sincere hope that you and those close to you are keeping safe and well. Predictably this earnings call is going to be different than normal. The full team is not here with us. It's only Matt, Mark and I that are together and we're spread rather distantly around a big room. Given the times we're in, we're going to keep our prepared remarks brief. As it's especially important, we leave more of the call for Q&A. I'll start by sharing how we've guided our COVID-19 response around the world. As you know, we felt the impact of the outbreak early given our sizable business in China. Our anticipation of that impact in isolation turned out to be just about right. And our business there has recovered strongly. Having said that, as the impact spread across Europe, and then the US, we saw steeper declines in revenue than we expected. So we moved early to reduce spending and are now finalizing further structural cost actions. We're privileged to serve markets in which our products and technologies are vital to the continuity of essential services. And having entered this period in a very strong financial position, we've been able to maintain and even further enhance our liquidity since then. So looking ahead, economic conditions are evolving too quickly to forecast demand in the near term. So we consider it premature to reset guidance just now. We will however, share what we're seeing in our end markets and offer more detail about our outlook. We'll address how we see the marketplace responding to the pandemic, including a notable flight to quality, and we'll share how we're using that to shape our investments, as certain trends accelerate across the sector. In particular, we see COVID-19 shifting how our customers are thinking about sustaining their essential services. And that provides an opportunity to shape both our cost structure and our investment priorities to emerge in a strong position on the other side of the pandemic. Before we get into the results, it's important to provide some insight into how we've responded to the spread of COVID-19. I want to begin by expressing how deeply humbling it is to watch frontline utility operators all around the world step up to serve their communities. They are delivering essential services in extremely difficult circumstances. I'm also very proud of the Xylem team's response supporting these folks. When COVID-19 emerged in Wuhan, China, our team activated our business continuity plan. Their first priority was to provide for the safety and well-being of our frontline colleagues, our customers and our partners. We then quickly moved to understand our customers' most urgent needs. It was clear that water, sanitation and hygiene were going to be essential to combating the spread of the disease. So we shored up our supply chains and we got critical equipment into our customers' hands so they could keep essential services flowing. We then acted to protect our financial and competitive position. With the China team's response underway, we activated our corporate pandemic plan to coordinate actions around the world. We put Tony Milando, our Chief Supply Chain Officer in charge of the global response effort. Tony is with us on the call today to answer any specific questions you may have about that response. As COVID-19 spread beyond the initial outbreak to major supply hubs like Italy and Germany, and then we dealt with lockdowns across the US, India and elsewhere, we apply those same principles model first in China. We also significantly reduced our spending both in the areas of OpEx and CapEx. And we put in place a package of employee support to underpin the well-being of our workforce, and to make sure they could focus on serving our customers mission critical work. Before passing the Mark to talk about Q1, I also want to mention how rewarding it's been to partner with our customers to help communities around the world. Through Xylem Watermark, our corporate citizenship program, our employees have found ways both large and small, to support the sustainability of our communities, working side by side with our customers and our channel partners and I'm so proud of all of them. Now with that, I'm going to hand it over to Mark to provide detail on the first quarter.
Mark Rajkowski: Thanks Patrick. Please turn to Slide 6. First, I'd like to give a big shout out on incredible teams working tirelessly to support our customers, whether working remotely, in our factories or in the field. Thanks to all of you. Now, let's turn to the first quarter results. Organic revenues declined 8% in the quarter, of that we believe COVID-19 ultimately had about a 5% impact on organic revenue growth for the quarter. The market softness we anticipated played out largely as expected until mid-March when we saw a sudden and broad impact as the pandemic spread from China to Europe and North America. From an end market perspective, industrial, commercial and residential markets each declined double digits, driven somewhat by expected underlying market softness, but more significantly by the impact of COVID-19 as factories, supply chains and customer operations were subject to shut down around the world. Utilities end market declined 5% as some project work was delayed, but operations and maintenance spending remain relatively steady. Geographically, all major regions declined in the quarter. Western Europe fared relatively well with growth in several countries in the first two months of the quarter. Emerging Markets declined double digits, including a 35% year-over-year decline in China due to mandatory shutdowns. US was down 7% on broad weakness with utilities showing the most resilience. Overall orders were down 2% with growth in utilities offset by declines in the other end markets. However excluding the estimated impact of the spreading pandemic, orders for the company would have grown low single digits in the quarter. Operating margins declined to 6.2%, driven mainly by COVID-19 related volume impacts, and warranty charge in the measurement and control solutions segment which I'll discuss shortly. Earnings per share is $0.23, this includes roughly $0.09 of impact from the pandemic and $0.07 from the warranty charge. Please turn to Slide 7 and I'll review Q1 results by segment. Water infrastructure orders in the first quarter were down 1% organically versus last year. We saw orders growth in the utilities markets more than offset by declines in the industrial side of the business. Organic revenues declined 7% in the quarter. The utilities end market was down 4% organically, while industrial was down double digits led by a 13% decline in the water, driven by volume declines in the oil and gas, construction and mining verticals. We consider the water infrastructure segment to be a proxy for the wastewater portion of the business with exposure to sewer collection networks and treatment processes. Historically, we've seen most utilities protect their operations and maintenance spending budgets during downturns, and we expect this behavior to continue. Please turn to Slide 8. The applied water segment had 5% organic orders decline despite very steady quote activity during the quarter. We're monitoring this metric very closely with our channel partners as well as order cancellations and project delivery delays. And while we haven't experienced any order cancellations, we are seeing some delays in project activity, as our customers were impacted by construction site closures and distancing mandates. Organic revenue declined 10% as the short cycle softness we had expected in our industrial and commercial end markets was exacerbated by the significant impact of project delays and construction site closures driven by COVID-19, most notably in China, which was down over 50% versus last year. Despite the significant impact of lower volumes and absorption from temporary factory closures on operating margins, the team was largely able to offset these impacts with an impressive 460 basis points of productivity and cost savings. Now, please turn to Slide 9. Measurement and control solution segment revenues were down 7% organically in the quarter, primarily driven by the effects of the pandemic, including water project deployment delays, and the impact from supply chain disruptions in our test business. Lower meter replacement demand was also affected beginning in March as physical distance requirements are impacting utilities ability and capacity to perform this work. Orders within the segment declined 3% organically, along with some softness in our recurring meter replacement revenue. We're also beginning to see some utilities choose to postpone project bidding, or delay issuing decisions on project awards. We're keeping in close communication with our utility customers and channel partners to understand their operational challenges. So we can best support them and effectively manage our supply chain. Segment margins in the quarter were significantly impacted by a $15 million warranty charge. This relates to a specific firmware issue and is contained to a limited number of our North American Water customers. The issue was quickly identified and is now being addressed in partnership with our customers. This charge impacted segment operating margins by roughly 430 basis points in the quarter. The impacts from COVID-19 related to lower demand and the availability of key components was approximately 110 basis points in the quarter. Now, please turn to Slide 10 for a discussion on the company's financial position and liquidity. We closed the quarter with a cash balance of $739 million. During the quarter we invested $51 million in CapEx for critical projects and we returned $108 million to shareholders through dividends and share repurchases to manage dilution. Our free cash flow performance in the quarter was impacted by lower net income and a higher use of cash for working capital. While working capital as a percentage of sales improved 70 basis points over the first quarter of 2019, cash used for working capital in the first quarter this year reflects both the timing of accounts payable, as well as higher inventories due to lower than expected sales. We remain laser focused on cash flow performance and are tracking cash flows and working capital daily. That said we do expect increases in past due receivables as we support key customers and channel partners through this period. We continue to have a strong liquidity position with approximately $1.7 billion available. In this past week we signed two bilateral loan agreements providing $160 million of borrowing capacity at attractive rates. We're confident that our strong financial position, our liquidity and focus on cash flow will enable us to effectively manage through this crisis and support the critical investments needed to enable our long-term profitable growth. With that, I'll hand it back to Patrick.
Patrick Decker: Thanks Mark. Clearly, the impact of the pandemic is continuing. So we are being appropriately cautious, but we're also in a very strong position. We entered this period on firm foundations, and we are differentiated in ways that position us to outperform over the medium and long-term. We have a proven and durable business model that sits at the heart of essential services and critical infrastructure. And we've shown the strength of our supply chain to keep customers served. Our market leading portfolio of technology positions as well, both with customers and relative to competitors. And our financial strength enables us to deploy capital through the cycle to further differentiate our portfolio in markets that will provide sustainable growth. Our geographic breadth provides an intrinsic hedge and exposes us to the markets that will recover earliest, and the strongest. And we're privileged to have long standing relationships with our customers, built on a platform of brands they have trusted for decades. So while everyone is subject to the same unknowns about the pandemic in the economy, we're very well situated to benefit from the markets flight to quality and to emerge in an even stronger competitive position. So let's look ahead, our customers are already telling us what will be important to them on the other side of this pandemic. Let me take a few moments to share what we're hearing in our end markets and how we'll be helping enhance our customers' resilience. With our utility customers, the impacts will likely be somewhat different for OpEx and CapEx spending. We expect the majority of utility operators OpEx spending to be quite resilient in the short-term, as they focus on mission critical applications and maintaining their operational continuity. We're actually seeing increased opportunity because of their operational pressures. The leaders I speak to say their single biggest COVID-19 challenge is addressing their labor impacts, whether actual infections or quarantines. They struggle to keep their frontline operators in the field. Conventional modes of working have shown cracks under the strain on their networks and workforce creating an imperative to be more resilient. As a result of that, we're seeing new inquiries about remote sensing and automated operations. Anything that helps utilities keep delivering essential services, even when their networks are put under additional operational and financial pressure. On the CapEx side, we expect spending to hold up as it did in the period after the global financial crisis of '08 and '09. That view is also supported by the multiyear CapEx funding mechanisms that utilities can access and the government commitments to continued investment that we're seeing in a number of countries. For that reason, we're not seeing many project cancellations, we are seeing some projects being delayed momentarily, and that's likely to lead to the slowing in our order conversion rate in the near term. Turning to industrial, commercial and residential, we do expect to see a greater impact from slowed economy. So long as industrial cycles are closed, we will see impacts on demand. And specific verticals like marine and beverage dispensing are likely to continue to remain soft as long as stay at home orders are in place. Anticipating questions about the specific impact of the depressed oil and gas market, it is worth mentioning that oil and gas activity is less than 2% of our total revenue. Overall, we will expect to see an industrial recovery in line with the broader economy. Lastly, in commercial, the short-term is going to continue to see construction crews off the job or reduced, especially in COVID-19 hotspots, which will limit site activity and delivery of equipment. For now our backlog remains strong and we are not seeing cancellations. But we are monitoring quote order conversion very closely. With all that said, we anticipate organic revenues will slow further in the second quarter. Even with China showing early signs of recovery, and our factories now operating at near normal levels, we don't anticipate a quick global bounce back. Given the economic outlook, we expect to see organic revenue declines in the second quarter in the range of 20% to 30%. And we're estimating decremental margins at roughly 50%. Bad factors in the incremental cost related to our temporary COVID-19 workforce support pay, which are funded by overhead cost reductions. On cost, as it became clear that COVID-19 would have business impact beyond China. We quickly reduced OpEx and CapEx spending by roughly $100 million for the year. We are now also reducing compensation for myself and the senior leadership team on a temporary basis. We will shortly be implementing more permanent structural cost actions. This will enable our competitiveness in any scenario by applying three principles. First, we're simplifying our cost structure to be aligned with post pandemic ways of working, which includes accelerating the reduction of our overhead cost. Second, we're addressing our business models in the markets most affected by the impacts of COVID-19. And lastly, we're prioritizing our investments based upon the customer needs that will most likely emerge from the pandemic and we're reinforcing our position as a water technology leader. On that last point, as I mentioned above, it is already clear that our customers' needs will be different coming out of the pandemic. They will be adapting to new operation pressures and they will have new ways of working. As a technology leader, we bring the tools of adaptation, the solutions that will make our customers more resilient right away and for the future. So our plans prioritize the investment that will reinforce our competitiveness by focusing on the areas where customers will need us most as they adapt through this challenging period and on the other side. In summary, there's a reasonable view that in tough times critical infrastructure is a good business to be in. I would actually rather say it's a privilege to work in the water sector. Our customers have shown extraordinary resolve in delivering essential services in a time of need. Whether in good times or bad, solving water and natural resource challenges is work that always matters. It's just now. However, it's also work at the heart of the world's public health defense network. The same strings to give customers confidence in Xylem is their partner in that work. Also drive our medium and long-term investment thesis. Our leading market positions, our depth of install base and our differentiated portfolio underpin our ability to drive sustainable and profitable growth. Our discipline delivery and execution enables us to drive sustainable margin expansion. Our financial strength, which customers depend on especially in difficult times, relies on our robust balance sheet and demonstrated cash flow. Our innovation, in anticipating customers' challenges is underpinned by investment in R&D and capital deployment to further strengthen our portfolio. And lastly, our commitment to create value for all our stakeholders underpins the sustainability of this company, our customers and our communities. With that, I'd like to open up to questions. And just a quick reminder again that in addition to Matt and Mark we also have Tony Milando two on the line. As Tony has been leading our COVID-19 response team and he can provide more color on those specifics. Operator, let's open it up for Q&A.
Matt Latino: Kristy?
Operator: Thank you. The floor is now open for questions. [Operator Instructions] Thank you. Your first question is coming from Scott Davis of Melius Research.
Scott Davis: Good morning guys.
Patrick Decker: Hey, good morning Scott. Hope you're well.
Scott Davis: Thank you. I'm and I hope you are as well.
Mark Rajkowski: Thank you.
Scott Davis: There's a lot in here. Patrick and rough outlook you provided, but maybe we could start off with just the decrementals, the 50%. Not a surprise in the short-term, but would you expect that to moderate down once you get to 3Q, 4Q and any best guess of what it might moderate down to?
Patrick Decker: Yeah, so I'll take it first, Scott. Yes, we definitely expect the decrementals to moderate over the course of the back half of the year. Part of the abruptness here in Q2 is the temporary support pay that we've got for our folks and some of our communities and customer support. We do expect that will moderate as things return back to some semblance of normalcy. Two, it's also a mix of business within the quarter that we see. And then third, we'll have the benefit of the overhead cost reductions that we're implementing both temporary right now, but also the permanent structural reduction. In terms of what it will moderate to, that's yet to be determined, although historically we've talked about decremental margins somewhere more in that 35% kind of range over time. But we won't see that until more likely the second half of the year.
Mark Rajkowski: Yeah, I think in Q2, what we're seeing based upon order trends, and what we're hearing from customers, the businesses that are being impacted unfortunately are some of the richest in terms of margin profile. So dewatering for example is certainly at the top of that list, in terms of margins and year-over-year impact. And we're seeing some of the same in our test business, which is very rich margins as well as in the North American Water side of the business for M&CS, so all of those are very rich in terms of the margin mix. But to Patrick's point, what it looks like going forward is a function of that mix volumes, but also, we will see benefit on the cost side that'll be reflected.
Scott Davis: Okay, that's helpful. And then since we got Tony on the line, you commented, I think either Patrick or Mark commented on the supply chain disruptions in test. What was that specifically, maybe a little bit color there and thanks for the question.
Patrick Decker: Thank you, Scott. Tony are you on?
Tony Milando: I am on. Are we talking about the supply chain disruption as a result of the warranty issue or just overall the –
Patrick Decker: No, specifically for analytics test, so that was –
Tony Milando: The virus – the virus you're talking –
Patrick Decker: Let me just hit the high – I mean, there were a number of components coming in from China Tony, maybe you can give a little bit more color.
Tony Milando: Yeah. Sure. Yeah, we did, we had a number of components, particularly in electronics that came in from China that were disrupted for a short period of time. We also had one COVID case there that shut the factory down for a couple of days. So now up and running and that person's back at work, and we're – that supply chain issue is behind us now.
Scott Davis: Okay, good luck, guys. Thank you,
Patrick Decker: Thank you, Scott.
Operator: Thank you. Your next question is from Deane Dray of RBC Capital Markets.
Deane Dray: Thank you. Good morning, everyone.
Patrick Decker: Good morning, Deane. Hope you're well.
Deane Dray: Hey, thanks and same for the Xylem team.
Patrick Decker: Thank you.
Deane Dray: Hey, just – wonder if I understand some of the dynamics here on the municipal side. I appreciate some of the differences in the outlook for the second quarter within wastewater seems pretty steady. And it seems like the clean water side has had more the disruptions. I can only imagine if you can't put in any smart meters in homes because they can't get in, that must mean the Philadelphia project is must beyond hold. But can you size for us, what the whole disruption is on meter deployments and maybe we can start there?
Mark Rajkowski: Yeah. Hey, Deane, it's Mark. There's a couple of pieces to it. One is you nailed it relative to the impact on some of the deployments. And you mentioned one specifically, but there are others out there. And it's also – to the point you made, having some impact relative to that just the ability to physically go in and do some of that work. And the utilities are really focused on critical repair issues at this point. So not that this isn't important work and won't continue. But it's certainly been pushed out as less essential. And some of the other things we need to deal with.
Patrick Decker: Yes, Deane, this is Patrick. And all the conversations I've had with many, many utility CEOs over the last month. Their single biggest challenge right now is obviously keeping their labor force out in the field, whether it be again inability to access residential meter repair installation, or again, just having the workforce available in general, given the impact of the virus on their workforce. But I do want to be clear, we've not seen project cancellations and if anything what the utility CEOs are saying is that they're actually looking to double down here in the latter half of the year on accelerating implementations, spinning out their CapEx budgets because of some uncertainty around what the next regulatory approval process might look like in terms of funding. So they're going to see a surge in their view here in the second half of the year. We've also continued to see some large international projects that we had been pursuing that are very much remaining on track. And even a bit of optimism there in terms of those moving forward again, nothing to share right now. So we'll have more on that later.
Deane Dray: Thanks. And just as a follow up to Scott's question on the decrementals and Mark in your answer, I certainly understand there are certain businesses like dewatering that you're going to see deeper decrementals and so helping us calibrate the second quarter decrementals, can you kind of size for us the segments and how they would shake out on decrementals?
Mark Rajkowski: I would say the – I think we really look at it on an end market basis and as we think about utilities, we're expecting to see on the top line down mid 20s including and that would include the clean water side with M&CS. In terms of industrial that's probably going to be down closer to 30%. And think of a big part of that that's going to be led by dewatering. Okay. And that's embedded in the transport, business in the water infrastructure business. And then commercial is going to be close to 20%, 20% plus and resi down about 30. But in terms of the margin by segment, I think water infrastructure will probably be the most resilient, I would say, followed by AWS and with some of the challenges we just talked about on the clean water side, probably M&CS a little bit more severe.
Patrick Decker: Yeah, directionally the detrimental margins for water infrastructure and for the applied water business are going to be pretty similar to what they've been historically. They're going to be in that kind of 30% plus range. I think we're going to see – what we're expecting in Q2, the largest decremental impact is going to be in M&CS. And that's because we've got a large labor and service piece there that we're going to hang on to because we don't want to let them go and we want to bring them back at this point and so we're going to absorb some overhead there. That will be impacting us in Q2. That gets a whole lot better in the second half of the year, although we're not guiding to that at this point in time. And then lastly you do have this kind of across the board temporary employee support package that we built in. That is also built into that 50% decrementals.
Deane Dray: Great, that's exactly what I was looking for that you're making that investment in MCNS and that carries into the second quarter.
Patrick Decker: Yeah, it's a pretty big cost base.
Deane Dray: Alright, thank you, best of luck to everyone.
Patrick Decker: Thank you.
Operator: Thank you. Your next question is from Ryan Connors of Boenning & Scattergood.
Ryan Connors: Great, thanks for taking my question. Hope everybody's well. I appreciate all the detail today.
Patrick Decker: Thank you, same here Ryan.
Ryan Connors: So I want to just probe a little further on the municipal outlook. I mean, obviously, that segment of the market's always been very late cycle in nature and there's a tendency now to talk about 2Q, 3Q even '21, but if you look at the last cycle, it really didn't even bottom out until four or five years out, 2012, 2013. So it's not the current generation of projects that's at risk, those are funded, but it's really the projects that are at a much earlier stage of exploration that would have been funded next year and beyond that don't end up happening. And obviously, now we got talked about the state and local bailout, which is a factor and we'll get your take on that as well. But, but what do you think about the real intermediate term outlook not 2Q, 3Q or even '21, but '22, '23 as we move through all this?
Patrick Decker: Sure. Yeah, so it's a great question Ryan. I think the – what I'm hearing from the utility CEOs as we sit here today, and this is a global conversation, not just a North American conversation, is they're not calling that. They're not they're not making that judgment at this point in time that this is going to be like previous financial crises. Even during financial crisis in the past, as you well know that 70% of their spending that is OpEx remains quite resilient because it's again, basic essential services, it really is that 30% of CapEx that can move around. And right now, that's not what we're hearing from them. I mean, we're keeping a close eye on that obviously, we don't want to have deaf ears to that. But they're viewing this as a bit different from a financial crisis, given the human and health nature of this one. They're not calling for a snapback immediately, but they're also not calling for a depression situation in terms of not being able to get projects funded because of a number of the bailouts that are being discussed at this point in time provided at the state local level. So that's the best view we have on it right now.
Ryan Connors: Got it, okay. And my other one had to do with – and you touched on this –
Patrick Decker: I mean I'll just add also there – I would also add there that again, the reason I bring up the global component of that is, we've actually seen a pretty strong snapback already in China and India in terms of building up critical infrastructure there on the waterside.
Ryan Connors: Okay, good. Now, then my other one had to do with – you touched on this in some of your prepared remarks, but innovation is so core to your strategy or identity as a company, 100 million is a big number. So presumably nothing's immune to the cuts that are going on, but how do you make sure that you continue to maintain that position in terms of not only the dollar spent on R&D, but how disrupted is your ability to sort of feel what the customer is needing in terms of all these trade shows being cancelled? I mean, in theory, those are – you have people out there with their ears to the ground that they're not out there. So talk about how all this is impacting that project or that innovation funnel?
Patrick Decker: Yeah, that's a great point. You can be rest assured that we are absolutely committed to preserving our innovation investments. And what I would say is this has allowed us to – there's – it's oftentimes said that it's not usually brand new innovations or trends that pop up coming out of a crisis, it accelerates trends that were already there. And that's certainly what we're seeing right now, especially within the utility space, but quite frankly, across each one of the verticals. And let me take it in a couple parts. So we are staying very close to our customers directly. But also, this has afforded us the opportunity to get even closer in discussions with organizations like Wes the owners of WesTech. They're talking about how they're going to be doing things remotely in terms of a trade show. And that led us to having great conversations with them around also how we use them as a conduit for feedback they're getting from various constituents on innovation themes coming out of this. And so we're in regular interaction with them in those conversations, so there are themes like, again, remote asset management, again, supporting remote workforce along the way, the issue of affordability in terms of how they become more productive in their OpEx, but also how they make their CapEx more affordable going forward has allowed us to actually accelerate the conversations that we had in place on our digital offerings. And we've actually had a significant increase in activity in that type of conversation and request for bids. A number of utilities are now able to action, what they refer to as their emergency procurement protocols to be able to move on with that activity that they were otherwise struggling to be able to do. So there are a number of these areas that we actually see as a silver lining as we get through the other side of this pandemic.
Ryan Connors: Got it, well, thanks for your time this morning.
Patrick Decker: Thank you.
Operator: Thank you. Your next question is from Nathan Jones of Stifel.
Nathan Jones: Good morning, everyone.
Patrick Decker: Good morning. Hope you're well.
Nathan Jones: I am. Thank you, hope you guys are too. I'd like to go back to some of the cost actions here. You guys talked about $100 million of reduction in spend. Can you break that out between CapEx and P&L cost? And then you talked about some structural cost reductions going forward. Can you give us any idea of what the magnitude of those might be when they might be implemented when we might start seeing the benefits from this?
Mark Rajkowski: Yeah, Nathan, let me let me start and give you a little bit of color on the 100 million. That breaks down roughly $40 million of reductions in CapEx, both was critical as well as just less need for certain capacity because of the demand. But also, we're focused on taking out roughly $60 million of OpEx spend and it's not so much focused on employees, it's focused on spending that we're doing outside, consultants, professional services, et cetera.
Nathan Jones: So we've seen a lot of a lot of company, following workers, reducing work weeks from 40 to 32 hours in order to increase these temporary cost reductions, which are impacting the decrementals in the second quarter. It sounds like you guys have taken a decision not to do that. Can you talk about that decision and what led you to that?
Patrick Decker: No, actually, just to clarify, Nate, we are going to be taking those actions. And so those – some of those are underway, some more of those will be coming here in the immediate term. I don't want to get into the details on the call here as to what that is. We are going to be taking those temporary actions, but it's really in service to – we're all on this together. So the faster that we're able to move on to more permanent structural changes, obviously, the less deep we have to go in the temporary, but we – these are all going to be done in service to each other that we're all on this together as one company. We are – to the latter part of your first question, which was on the permanent structural side, what the size of that is and when would we begin to see the benefits of that? We're being very purposeful and thoughtful in our approach to those structural actions. We're not just in a rush to cut, we really have been working feverishly on making sure we have a good understanding as best we can as to what are the structural changes in our customer sets coming out of this pandemic and align ourselves accordingly. I think we all recognize in this world that we've learned the hard way, all of us, to be able to do a lot more with less. And that's all factoring into our thinking on what the permanent structural changes will be, so more of that to come in our next earnings call. We are going to be taking those actions here in the immediate term. We will see benefits as I mentioned earlier, it will improve the decremental margins in the second half of the year. It will obviously have an even larger impact and benefit in 2021 just given the fact that we do have approvals we have to get and works councils and things like that in various parts of the world.
Nathan Jones: Thanks for that. And if I could just slip one in on the industrial side of the business, I would think that is probably the area where you've seen the most impact from broad lockdowns and businesses that you would normally service actually being shut down. Do you guys have any visibility into what the impact of the shutdown specifically rather than just general lower industrial activity is being. And I would think you would expect to see that snap back relatively quickly as we start to get global economies open here, just any commentary you have on that?
Patrick Decker: Yeah, I think you've read it right Nate. It is where we've seen the single biggest impact in the immediate term both in Q1 as well as in what we're looking at in terms of Q2. And I would say they're – the impact, really is that you've got sites that have simply been shut down on the industrial side of the equation and therefore if they're not up and running and they're not going to be at our pumps, and other ancillary services along the way. We've also had some impact within our indirect channel. We sell to distribution largely into that area. And so they've also had their lockdown and kind of work at home policies. So it's as simple as that. You're right. I mean, we definitely expect that as things open up, and that might be a little better in Q2 than what we're calling for. Who knows? We think we're being prudent right now and cautionary on Q2. But certainly as things begin to reopen in the second half of the year, then there will be – we would expect to be a meaningful snapback. And there will probably be some pent up demand at that point in time that we can benefit from, but it's too early for us to call that.
Nathan Jones: Fair enough. Thanks for all the detail. I'll pass it on.
Patrick Decker: Thank you.
Operator: Thank you. Your next question comes from Michael Halloran of Baird.
Michael Halloran: Good morning everyone.
Patrick Decker: Good morning, Mike.
Michael Halloran: So just first on the offence, defense side on the capital deployment, how are you guys thinking about balancing the liquidity needs in the short-term. In fact, the cash flow is probably going to be a little softer in the short-term with that that you have a lot of liquidity and the environment might create a lot of opportunity for you guys on the M&A side over time and any other things you're thinking about from a capital usage perspective.
Mark Rajkowski: Sure, yeah. Morning, but I would start by saying, we do enter this with a very, very strong both cash position, but liquidity broadly. We are going to continue focusing on those areas that – our highest returning which is continuing to fund the investments we need to grow the business. We talked about that earlier, in response to Deane's question, that it's important that we maintain those critical investments to grow over the long-term. Secondly, given our liquidity position, and there's not – let's face it, I mean, deals are not going to get done in the near term, but we are going to be focused on keep – our ear to the ground. We know where we want to play. We know we want to participate. And we have our list out there and at the right time, we think we'll be well positioned to take advantage.
Patrick Decker: Yeah, and I would just add to Mike is that as you and the others will know, I mean, in these times the strong gets stronger through this. And we're going to be strategic and continue to be appropriately aggressive to support our long-term strategies that we laid out before those remain unchanged. Perhaps maybe some of the things that we invest in from an R&D standpoint get differentiated a little bit more based upon what we learned through the pandemic. And again, that's just part of the strong getting stronger. Again, I don't want to over use the phrase of flight to quality, but there's clearly going to be a flight to quality here. And we're confident that that's the position that we're in and we're not going to waver from our original commitments.
Michael Halloran: It makes a lot of sense and agree. And the second one, just from lessons learned from China and what you're seeing there more specifically, maybe just talk a little bit about the production ramp versus what you're seeing in the demand side qualitatively. Obviously, production seems to be coming back online, how is demand tracking relative to that and what kind of cadence do you see? Sure, yeah. So Tony, if Tony is still on the line, I'm going to hand over to you, Tony just in one second. I would say on the demand side, we have seen a bounce back in demand in China and India. Again, we're being prudent and cautious there as to where that's happening, which product lines, which verticals it's coming through, but we have seen the snapback in demand. But Tony, do you want to talk about lessons learned on the supply chain and the resilience there.
Tony Milando: Sure, yeah. So our current capacity globally is about 90%. Our China facility was – facilities were down for about 10 days after Chinese New Year before they came back. In the first week, they were back at about half capacity. And now they're back up to 100%. And they're fully loaded right now. A lot of pent up demand, as Patrick mentioned, is coming back into some of the China facilities right now. Some of the lessons that we've learned were around communication, around safety and safety has been a stronghold for us for many years now. We've cut our incident rate down by 50% over the last four or five years and this has really been elevated. So temperature checks, PPE, social distancing and we've learned quite a bit from that model. And we're able to deploy that a lot quicker. In Italy, for instance, where we saw really no production downtime, we got low, but we never shut down the facility. And in fact, in our 50 facilities around the world, only one of those is shut down right now, which is in India. In fact the other Indian facilities are actually up and running from last week. So putting those safety measures in place, that communication measures in place have really helped us keep our employees healthy and the fact that we're all in deemed essential services almost everywhere as allowed our facilities to stay up and running.
Patrick Decker: And I would just add to that. Tony mentioned communications. And I know it may be a little salty for this call, but on the communications front, really, for the past several weeks, since things really began to spread and it was deemed a pandemic. We've leveraged our own internal platforms to – every Tuesday I do an all hands call with all of our folks around the world and it just kind of ask me anything kind of what's on their mind. And then every Thursday, I have a call with our top 400 leaders to hear what's on their mind and just to kind of pass along critical elements communications, so I do think all it seems soft. There's a lot that comes out of that that keeps us in touch with what's actually happening. And that further informs what our overall response plan is good.
Mark Rajkowski: I would say Tony and his team have done a tremendous job in terms of the supply chain, making sure we've got good visibility into critical components and supply from Tier 1, Tier 2 suppliers as well. So that's been very helpful.
Michael Halloran: I appreciate everyone, thank you so much.
Patrick Decker: Thank you, Mike.
Operator: Thank you. Your next question is from Joe Giordano of Cowen.
Unidentified Analyst: Hey, good morning. This is Robert in for Joe. Just switching to free cash flow here for a second, just want to see if you can expand on your expectations for the rest of the year. How does the cadence look? And then as volume goes down, do you think you can translate that into better cash and release some working capital from that and turn that into cash?
Mark Rajkowski: Yeah, that would certainly be the plan. With some of the impact on volume we'll release some working capital, but we're also mindful of the fact that it's some of our customers are under stress. So we need to be on top of collecting our receivable. Some of our key customers and channel partners are under stress, so we're going to look to support them, but on the whole, as volumes decline, you'd see some release of working capital for sure.
Patrick Decker: And just a bunch of weight that I want to make sure we're clear here that what we're talking about in terms of any relief for customers, that's a very targeted and it's very temporary. Key cost it's very temporary and we would expect that to normalize and course correct in the second half of the year, so that really is more of a comment on here in the immediate term. That's not a comment on the year.
Unidentified Analyst: Okay, that helps, thank you. And then just the follow up would be, just kind of looking at tensions between the US and China and how political tensions are rising there, is this something that you're worried about in kind of the longer term, medium term and can you just provide a little color about how you're thinking about that situation is certain to kind of emerge and become something that's being talked about.
Patrick Decker: Yeah, sure, I'll – yeah, I'll – this is Patrick. So it's certainly something that – I mean, given that China is now our second largest market around the world, although, it still doesn't come close to the size of the of the US market for us. The reality is that we've been dealing with these tensions between the US and China for quite some time now. And even though they may be heating up again now and maybe get worse, who knows? The reality is we are seeing it's such a multiple company in China. We don't have a single expat, the look and feel for any of those of you that have been there know that we are very much seen as a local company there. That is high quality. Secondly, the fact that roughly two thirds or 70% of our business goes into the water, infrastructure space, most notably utilities, its critical essential services. And we've to this point, not seeing any disruption even through the previous trade tensions and other discussions along the way. So we feel we're pretty immune to that. I think the third of our business that is commercial and industrial, that's tied more to the broader macroeconomic outlook for China. And we actually see that part of the business is improving right now because there is a return to some level of normality in China, the economy along the way. So we – I don't want to say we're down to it, but we're not concerned about the tensions between the US and China from a business standpoint.
Unidentified Analyst: That's great. Thank you very much for taking my questions and stay safe everyone. Thank you.
Patrick Decker: Thank you.
Operator: Thank you. Your next question is from Saree Boroditsky of Jefferies.
Saree Boroditsky: Good morning.
Patrick Decker: Good morning.
Saree Boroditsky: I appreciate your COVID-19 impact on organic growth in the quarter. Could you provide some color on how you derive that? Was it operational issues or demand impact?
Matt Latino: Yeah, it was it was really a combination in terms of just customers not being able to continue on with certain project work, particularly in China because things were shut down. We saw in the US, in Europe, the demand slowed down on certain order and shipments at the end of the second half of March. But we also were impacted on the supply chain side. And I mentioned earlier in our test business, not solely in our test business, but largely there in terms of components that we were not able to get, which impacted our ability to ship.
Patrick Decker: I would just add that the – I want to go back to comments we made in the prepared remarks and that is, I think it's important for everyone to understand the reason why we were down further in Q1 and at least we're guiding right now to be down steeper in Q2 is, one really needs to follow the virus. It hit first in China. We've got a disproportionate amount of business in China relative to other companies in our space. It really didn't hit fully until really in late March into April, coming out of it now. It then moved to Italy, to Spain, to Germany, where we've got major supply points and hubs for not just Europe, but also for some of the product lines that we sell into the US. We're now coming out on the other side of the curve of that, but we're already halfway through or almost halfway through the quarter. Then it moves to the US. And that's where we find ourselves in similar situation to competitors and peer companies that have a larger US concentration. And so one really just doesn't need to overcomplicate it, you follow the virus in terms of the impact that had on shutdowns, job sites, factories, et cetera. And that really is how it's flowing through our impact for Q1 and our outlook for Q2 and then we recover in the second half of the year.
Saree Boroditsky: That's helpful. And I guess on that line, can you provide the cadence of the improvements you saw on demand in China and what the product lines were that bounced back? And is there anything there that you think will apply to the regions as – the other regions as lockdowns get lifted?
Patrick Decker: Yeah, Saree, so we saw it in the utilities, certainly we saw a pretty broad base across China. As mentioned in the prepared remarks 50%, more than 50% in applied water, but we saw it in water infrastructure too. You're now seeing us return to utility activity and quoting – bidding activity that's returned to pre-COVID levels in China. So that's an encouraging sign that our teams have seen. Albeit they're working through what life looks like after the pandemic where those meetings have changed, a lot of it is virtual, a lot of it is less people than previously done. So we're getting back that. We're starting to learn what that's going to look like for even our European and US businesses, but there's a bit of learning that we've had from the China side.
Saree Boroditsky: Great, thanks for taking my questions.
Operator: Thank you. Your next question is from Andy Kaplowitz of Citi?
Andy Kaplowitz: Good morning, guys.
Patrick Decker: Good morning.
Andy Kaplowitz: Patrick, maybe you could give us some more color on your commercial business. You said the backlog remains robust. But obviously the US, non-US cycle looks like it could be under pressure for a little while. So do you expect the relatively quick snap back in that business as shutdowns end? Or do you worry about a bit of a longer term overhang in that business?
Patrick Decker: It's a great question. I think the – so what we've already seen and again, I step back globally. I'll come to the US here in a second. As Matt mentioned, we're already seeing recovery in China. It is lagging the utility side because it's less essential and critical, but it is returning to normality there. And we expect that to be the case, certainly following in Europe and then eventually here in the US. The part of our business right now that's been most heavily impacted is the bucket ship business in the US that was especially hard hit in the northeast in California, where you had the hot spots of COVID-19. The rest of the business is actually held up fairly well in that regard, but it's been very steep in those COVID-19 hotspots. So we do expect and again, as I mentioned earlier, it's not necessarily in all cases where we go direct, it's also the impact it's had on our channel partners, and their ability to be at work. And the feedback that we get from them is that they do still see quoting activity continuing on jobs, it is happening remotely similar to what we see in China. I think we all can kind of relate to that. So that always slows things down a little bit in terms of jobs getting completed, in terms of bid. But we do expect there to be a reasonably strong recovery. But I do think it's going to be prolonged for some period, as things just take a little bit longer to get done as people are working remotely. So I don't think it's going to be a big snapback, it's not going to be a V shape. At least we're not guiding that way at this point. But I just want to make sure everybody understands. It is very much isolated to certain hot spots around the US. It's not a broad based commentary on commercial channel.
Andy Kaplowitz: That's very helpful.
Matt Latino: And backlogs are up.
Patrick Decker: And backlogs are up.
Andy Kaplowitz: Got it and then Patrick or Mark, maybe can you just give us a little more color on the MCS warranty charge. I mean, you addressed it in the prepared remarks. But what happened and is there any risk of further issues moving forward?
Mark Rajkowski: Yeah, it's, as I said, it's a firmware issue, it's very contained. It's really in a relatively small part of our business. It's in our AMR side, which is the vast majority of our businesses, AMI, FlexNet and other things. So it does not impact FlexNet customers' international business, it's not electric or gas, so fairly contained. They've identified the issue and they're working through with customers right now. So it's very much contained.
Patrick Decker: And we – the approach we took on this was to get on it – as soon as we heard about it, get on it now, like get it behind us, do what we got to do to take care of those customers and move on and that's why we took the charge in the quarter and we're confident that as Mark said, it's very contained. It's an isolated piece of the business, certain number of endpoints. And our customers have responded very positively in terms of the way that we've gotten on it.
Operator: And thank you. Your next question is from Pavel Molchanov of Raymond James.
Pavel Molchanov: Thanks for taking the question. First on your in-house manufacturing, you referenced India. I think that's the strictest lockdown that you have direct exposure to. As India begins to reopen, I believe this week. What's the latest on that manufacturing site?
Patrick Decker: Yeah. Tony are you still on?
Tony Milando: Yeah. So first of all, we have two facilities in India. One of the facilities is – we've been able to get it deemed in essential service and that actually opened up last week. I think the latest lockdown actually has pushed it out to May 15 and so our other facility will remain shut down through May 15. But the first facility, our larger facility actually was opened up last week.
Pavel Molchanov: Got it.
Patrick Decker: And one of the things – and one of the learnings that we had coming out of China that I think we didn't mention in our prepared remarks, and I don't think Tony mentioned earlier was, as we saw, again, following the viruses, we saw things moving around the world, one of the things that we did was go ahead and begin to build up inventory in certain factories to get ahead of it, to make sure that we could at least try to minimize supply disruption and just absorb demand flowing, but be able to be prepared for that. And that certainly was also the case in our India factories, the two that we have there.
Pavel Molchanov: Thanks. My follow up question is on the M&A, you said that no one's going to be doing deals in the near term by playing devil's advocate, if there are some distressed M&A situations in water tech, which we have not seen for years and years, given how hot the space has been, would you opportunistically look at those?
Patrick Decker: Yes. Yeah. I mean, I think our comment there really – I think the intention of Mark's comment was not that there wouldn't be deals to be done or there won't be activity at all. I think it just – it always moves things out a little bit more to the right, as people will try to figure out kind of what is the appropriate valuation for their asset and then you can take the time to do the diligence, as Mark pointed. So we're not rushing out, but at the same time, we are very open. Again, our strategy remains unchanged there. We'll be smart about it, both in terms of the pace and the valuations, but you're absolutely right, again, there's a flight to quality and again the strong get stronger in these timeframes.
Pavel Molchanov: Thank you.
Patrick Decker: Thank you.
Operator: Thank you. We have reached our allotted time for questions. I will turn the call back over to Patrick Decker for any additional or closing remarks.
Patrick Decker: Thank you. Thanks, everybody for joining. Again, as we like to say here, stay safe, stay strong, stay focused. We appreciate your time here with us today. I look forward to getting back in touch with you.
Operator: Thank you. This does conclude today's Xylem first quarter 2020 earnings conference call. Please disconnect your lines at this time and have a wonderful day.